Operator: Greetings, and welcome to the Leidos Third Quarter 2017 Earnings Results. As a reminder, this conference is being recorded. I'd now like to turn the conference over to your host, Kelly Freeman, Director of Investor Relations. Please go ahead, Ms. Freeman.
Kelly Freeman - Leidos Holdings, Inc.: Thank you, Rob, and good morning, everyone. I'd like to welcome you to our third quarter 2017 earnings conference call. Joining me today are Roger Krone, our Chairman and CEO; Jim Reagan, our Chief Financial Officer; and other members of the Leidos management team. Today, we will discuss our results for the quarter ending September 29, 2017. Roger Krone will lead off the call with comments on the market environment and our company strategy. Jim will follow with a discussion of our financial performance and our guidance expectations. After these remarks from Roger and Jim, we will open the call for your questions. Today's discussion contains forward-looking statements based on the environment as we currently see it and, as such, includes risks and uncertainties. Please refer to our press release for more information on the specific risk factors that could cause actual results to differ materially. Finally, during the call, we will discuss GAAP and non-GAAP financial measures. The reconciliation between the two is included in the press release that we issued this morning and is also available in the presentation slides. The press release and the presentation, as well as a supplementary financial information file, are provided on the Investor Relations section of our website at ir.leidos.com. With that, I'll turn the call over to Roger Krone.
Roger A. Krone - Leidos Holdings, Inc.: Well, thanks, Kelly, and thanks, everyone, for joining us this morning for our third quarter 2017 earnings call, and thanks all of you for dialing in half an hour early and especially those who were up till midnight watching the World Series, and congratulations to the Houston Astros. Of course, it's a crowded day on earnings release. So, we've moved our call up half an hour to accommodate the schedule. Results for the quarter demonstrate continuing strong performance from the business. During the quarter, we delivered adjusted EBITDA margins of 10.9%. We secured $3.1 billion of new net bookings. We delivered $0.95 of non-GAAP diluted earnings per share, and we also generated $268 million of cash from operations, allowing us to repay $125 million of debt and reduce our leverage ratio to our target of 3.0 times. In short, we had a solid third quarter and are focused on continuing our momentum and driving growth. The quarter and year-to-date results highlight the strength that comes from our uniquely diversified business composition. The diversification that we enabled through the IS&GS transaction, increasing our exposure to both civil and health markets, has meaningfully contributed to strong results we have seen this year. We have increasingly leveraged our scale not only within each of our three market segments, but also across the organization. This has allowed us to achieve some notable successes on the business development front, which position us well to drive future growth. A couple of notable program wins that demonstrate these successes include a $684 million single award task order in our Civil segment awarded by the Department of Homeland Security to provide operations, maintenance, security and optimization, as well as other services supporting the managed networks under the Secure Enterprise Network Systems, Services and Support or SENS3 Program. In our Health segment, we won a follow-on contract with the Social Security Administration with a ceiling value of $2.3 billion. Under this 10-year IDIQ, Leidos will provide lifecycle activities for software improvement, engineering and management support, database, data and systems administration, as well as security support. This win continues a long-standing relationship with the Social Security Administration, and we are proud to continue supporting their operational success. While quarterly bookings tend to be volatile, we did see a heightened level of award activity in the third quarter, as we typically do, coincident with the government fiscal yearend. In combination with the seasonal uptick, these winds contributed to our 1.2 book-to-bill ratio in the quarter and drove an end-of-quarter backlog position of $17.7 billion. We continue to focus on improving our top-line prospects by investing for growth. Our scale allows us to make a strategic commitment to internal growth initiatives, including internal R&D, bid and proposal activities and capital expenditures; and leverage this investment for the benefit of our customers in the form of innovative, yet cost-effective technical solutions. We continually refine our investments in these areas as we engage with the customers, and we have recently identified additional areas for capital investment that we expect will generate meaningful returns in future years. Jim will share more details on this in his remarks. As the investment option with the highest expected return, internal growth initiatives will continue to be a priority for capital deployment going forward. Expanding on capital deployment, as I indicated earlier, we did reach our target leverage ratio during the quarter. Consistent with our prior statements, we can now pivot to a more flexible capital deployment posture. Beyond debt reduction and internal investments, which we have been doing since the transaction closed, reaching the 3.0 times leverage ratio target provides us relief from some debt covenants, which had previously restricted our ability to deploy excess capital through meaningful share repurchase or M&A. We are pleased to once again have the full breadth of options more readily available to us, as we look to deploy our excess capital in the best long-term interest of our shareholders. From a macro perspective, the recent passage of a joint budget resolution is positive as it provides spending guidelines for an increased defense top line above the sequester caps and assumes non-defense discretionary spending will not be cut as deeply as the budget request. In addition, the administration's fiscal year 2017 budget amendment and the House and Senate defense authorization bills, all point to higher spending levels in 2018, and we are optimistic this will come to fruition. That said, there is still much work to be done as we look beyond the expiration of the current continuing resolution on December 8. However, as we focus on our strategic direction and what is within our control, this macro backdrop reinforces our belief that we are well positioned with our capabilities and customer exposure to benefit from the priorities of the administration and the related budget dollars. In closing, I am pleased with our results in the third quarter and year-to-date. I am further encouraged with what lies ahead. We have a focus at all levels of the organization on growing the top line and collaborating across segments to ensure we have the most innovative and cost-effective solutions to offer our customers as they look to accomplish their missions. We have a rigorous plan for success in continuing cost synergy capture and have a clear line of sight to future savings enabled by key milestones early in 2018. And finally, we have an organization of 32,000 dedicated and unparalleled professionals committed to delivering excellent program performance for our customers and increased value for our shareholders. With that, let me hand the call over to Jim Reagan, Leidos' Chief Financial Officer, for more details on the quarter and our full year outlook.
James C. Reagan - Leidos Holdings, Inc.: Thank you, Roger, and thanks, everyone, for joining us on the call early this morning. Roger has already shared the highlights of the quarter with you and the full details of our results are in the press release, so I will just provide some thematic commentary to give some context to the numbers and that will leave you all for some more time for questions on this call. Revenues of $2.5 billion in the quarter grew 34% over the prior-year period, which reflected a partial year's contribution from the IS&GS business. Non-GAAP adjusted EBIDTA margin of 10.9% surpassed our expectations and was driven by a combination of; first, strong program performance; second, a slower-than-expected ramp down of some key high-margin programs which we've discussed on prior calls; and third, an elevated level of program write-ups reflecting the continued achievements of our cost reduction programs. Non-GAAP diluted EPS from continuing operations of $0.95 benefited from this strong margin performance as well as a slightly lower-than-expected effective tax rate. In line with typical seasonality, we had a strong quarter for cash flow from operations. Due to the timing of previously disclosed systems transitions associated with the IS&GS transaction, we continue to have an elevated days sales outstanding, or DSOs, during the third quarter, exiting the quarter at 65 days. As we've said in the past, we expect this to reduce in the fourth quarter and are now targeting a year-end DSO level of approximately 62 days. Note that we do expect cash flow from operations in the fourth quarter to come in below the third quarter levels, again, in line with seasonality. Now, for a quick update on our integration activities. We remain on track with plans to consolidate financial systems in the first quarter of 2018. Remember that this is instrumental to realizing a step function increase in cost synergies. In total, through the third quarter, we've realized approximately $300 million in run rate cost synergies relative to our targeted level of over $400 million, in addition to the already realized $121 million of day one cost synergies. Our expectation of expenses required to achieve the target level of synergies is unchanged. Our cash and cash equivalents balance at the end of the quarter was $287 million, in line with our targeted cash levels of $200 million to $300 million. During Q3, we continue to make progress in reducing our future interest cost through three actions. First, we repaid $125 million of our debt; second, we refinanced our term loans A and B, reducing applicable spreads by 25 basis points; and, third, we executed an additional $300 million of interest rate swaps, bringing the fixed portion of the debt portfolio up to 66% from prior levels of approximately 54%. Now, let me share some details on our segment results. Again, the details and the numbers are in the press release. Their revenue comparisons are less meaningful given the partial quarter of IS&GS revenues in the prior-year period. But for some additional context, particularly on margins, let me provide this. Starting in our Defense Solutions segment. We had some nice wins in the quarter, although, as is increasingly the case, a significant portion of these wins was linked to new IDIQs and thus not recognized in bookings during the quarter. Notably, we were awarded a $1 billion single award IDIQ contract and the corresponding first task order, which has been protested and therefore is not included in our book-to-bill numbers. Our non-GAAP operating income margin of 8.4% in the quarter declined 40 basis points sequentially, reflecting the ramp down of certain higher margin contracts. In our Civil segment, we achieved a new high watermark for non-GAAP operating income margin at 11.2%. This was driven by the higher level of cost reductions discussed earlier, as well as robust program performance. Notably, this quarter was the first quarter of our recognition of gain share on the LCST contract. As a reminder, this contract allows for us to share with the Ministry of Defense the savings enabled through the implementation of our systems and infrastructure. Our Health segment continue to perform very well, both on revenue and margin as we continued to benefit from increased on-contract growth and, again, a higher level than expected contribution from a couple of programs which are performing well. These programs provided uplifts to margins beyond what we consider steady-state levels with non-GAAP OI at 16.4%, a slight uptick from the prior quarter. We believe that the contributions from these programs will return to a more normalized level in Q1. With that, I'll move on to guidance. As Roger previously previewed, our strong performance year-to-date which continued through Q3 gives us confidence to revise in upward elements of our guidance. Our expectations for revenue remain unchanged at a range of $10.1 billion to $10.4 billion. We now expect adjusted EBITDA margin to be in the range of 10.2% to 10.4%, up from our prior range of 9.8% to 10.2%. Non-GAAP diluted EPS is now expected to be in the range of $3.60 to $3.75, up from the prior range of $3.45 to $3.60. Our guidance for cash flow from operations is now at or above $490 million, up from prior guidance of at or above $475 million. A few other notes related to our guidance. We're increasing our CapEx estimate for the year by about $15 million to $75 million, driven by specific additional investments we have already identified, which we believe will directly drive future revenue and profit growth. We're also revising our full year non-GAAP effective tax rate to be in a range of 34.5% to 35%, down from our prior range of 35% to 35.5%. Finally, our guidance continues to embed an assumption that the government will be operating under a continuing resolution for the balance of 2017. In conclusion, we are pleased with our performance to-date, and we're confident that we're well positioned to achieve our targets. We remain focused on addressing the most critical challenges of our customers while driving growth, increasing profitability and generating cash. Rob, now, it's time to open it up for some questions.
Operator: Thank you. We'll now be conducting a question-and-answer session. Thank you. Our first question comes from the line of Jon Raviv with Citigroup. Please go ahead with your question.
Jon Raviv - Citigroup Global Markets, Inc.: Hey. Good morning, guys.
Roger A. Krone - Leidos Holdings, Inc.: Hey. Good morning, Jon.
Jon Raviv - Citigroup Global Markets, Inc.: Jim, just a quick question on that CapEx number. Can you talk about some of the specific things that you're looking at investing in? And also, should we assume that $75 million is the new run rate, or is this kind of a one-time spend that comes down later?
James C. Reagan - Leidos Holdings, Inc.: First, Jon, thanks for dialing in so early. The uptick in CapEx is more – right now, we think of it as a one-time bump up. It is on a particular program that we're probably not at liberty to give you many details on due to the nature of the work we're doing there. But I would tell you that it's for a fixed asset and not an intangible, and it's related to delivering on a specific program for a defense customer.
Jon Raviv - Citigroup Global Markets, Inc.: Got it. Thank you for that. And then, also, on margin sustainability, I think over a year ago when you laid out the targets for 2018 plus, and they're in the slides again this morning, you talked about above 10% and that anything too far above 10% should really be invested back into the company. So, with that said and the guidance where it is for this year, is this a number – the 10.2% to 10.4% that is – is that a number you expect to improve upon going forward as you get more benefit from the combination? Or should we expect to see some of this EBITDA growth come more from the sales side than the margin side in 2018?
James C. Reagan - Leidos Holdings, Inc.: Jon, the way we think about this is, first, the strong margin performance that we had year-to-date is primarily – again, it's two things. It's our ability to achieve – it's really three things. First, our ability to achieve the cost reductions that we had been expecting a bit faster than we previously planned. The second thing is that our programs and the people on the ground executing are doing a fantastic job of delivering on programs without any material speed bumps that you normally have and you can normally expect in a complex integration of two large businesses like that. And the third thing that I would tell you is we do have a couple of programs that are delivering during kind of a certain phase of their program lifecycle better and higher margins than would be typical, and that's when you hear me talked a little bit earlier about things that we consider temporal increases in margins in the health business, and we even have one of those in the defense business as well. That said, as we continue rolling up our plans for 2018, we'll have better visibility into what the margin should be for 2018 and beyond, and we'll talk more about that in our call in February.
Jon Raviv - Citigroup Global Markets, Inc.: All right. Thanks. I'll hop back in the queue.
Roger A. Krone - Leidos Holdings, Inc.: Thanks, Jon.
Operator: Our next question is from the line of Cai von Rumohr with Cowen. Please proceed with your question.
Cai von Rumohr, CFA - Cowen & Company, LLC: Yes. Thank you very much, and good quarter. So, maybe, if you give us some color on what percent of your awards were new business and maybe some color on the amount of protests outstanding of programs that you've won. How big are those?
Roger A. Krone - Leidos Holdings, Inc.: Thanks, Cai, and good morning. I'll talk a little bit about the protests, and I'll ask Jim to think about how we break out the $3.1 billion in awards between new. But we continue to see protest activity frankly across the board. We probably have low-double digit number of programs involved in a protest in some way. That's both defending protests against business that we've won and then frankly filing protests on some businesses that we lost that we believe we should have won. Though we don't really disclose a hard number of how much potential revenue is tied up in protest, I would let you know that it is in the billions. So, if you were to add up all the programs, the number would be greater than $1 billion. And Jim mentioned one in his prepared remarks that in and of itself gets us over that threshold. And it is just the world that we live in and we try to take that into account when we forecast when these awards are going to roll into revenue. So, I don't know, Jim, if you want to talk about the split.
James C. Reagan - Leidos Holdings, Inc.: Yes. So, Cai, when you take a look at the net new bookings, you can think of it as roughly 85% new. But the one trend that we've been seeing in the quarter – in the year so far is that more of our new booking spend is typical – is related to on-contract growth and extensions of existing contracts. As we're seeing in certain procurements, customers are – rather than go through their normal five-year cycle of re-procuring something, they will ask the incumbent, and in this case it's us, to stay on longer while they're delaying procurement due to a variety of factors. The one other point that I would make and it amplifies, I think, on the question on protests. We would have a nice – a bit of a higher book-to-bill if it hadn't been for the protests of this single-award IDIQ that was protested shortly after the close of the quarter. And just a reminder for you that single-award IDIQs where we've got a lot of runway that we don't have to compete for, we don't book those by policy until we get specific task orders, and we consider that a pretty prudent and conservative way to go about thinking about book-to-bill.
Cai von Rumohr, CFA - Cowen & Company, LLC: So, given the large number of protests that you have, what does this say about potential for bookings in the fourth quarter, which seasonally tends to be not quite as strong as the third?
Roger A. Krone - Leidos Holdings, Inc.: Well, Cai, I think you've kind of answered the question, but we obviously expect it to go down, but it's a 99-day process if they go the full limit on a GAO protest. And depending upon when the protest was filed, we now have a couple where, depending upon how you count the days, it could get resolved within the fourth quarter, or some of these could actually extend over into first quarter. I think we've touched on this a little bit throughout the year, which is you write a proposal, you work really hard. By the way, this is true across the industry. You win, and then it gets protested, and you hope it will be resolved in 99 days. We've had programs that have been protested more than once. So, unfortunately, the trend now is that things move to the right. I think your question was more about we expect some more strength in the fourth quarter given the number of protests. I think one could see their way to that. But then, again, there may be some awards that we have planned for the fourth quarter that, therefore, will slide into first.
Cai von Rumohr, CFA - Cowen & Company, LLC: And the last one, as you've kind of achieved your cost cuts, you've indicated in the past that you've taken your wrap rates down. Maybe give us the sequence of what we should look for going forward. And have the results of those lower wrap rates resulted in booking success you might otherwise not have had?
James C. Reagan - Leidos Holdings, Inc.: Yes. Cai, this is Jim. Clearly, we have seen some benefit in win rates of a lower than expected – or I should say lower than previously realized wrap rates. And when we lose – and it's a pretty competitive market out there. We're seeing that the reasons for losing are more often something other than price. And so, we're comfortable now that we've made great progress in being more price competitive. With that said, we're never going to stop working toward continuing to lean out the cost structure for reasons that we've said before. Number one, it gives us greater capability to invest more in other growth initiatives, whether it's in business development things or the ability to invest more in research and development, et cetera. So, right now, we're able to look at taking some of these cost savings and investing them back in the business.
Cai von Rumohr, CFA - Cowen & Company, LLC: Thank you.
Operator: Our next question is from the line of Rob Spingarn with Credit Suisse. Please proceed with your question.
Robert M. Spingarn - Credit Suisse Securities (USA) LLC: Good morning.
Roger A. Krone - Leidos Holdings, Inc.: Hey. Good morning, Rob.
James C. Reagan - Leidos Holdings, Inc.: Hi, Rob.
Robert M. Spingarn - Credit Suisse Securities (USA) LLC: Jim, what was the organic growth in the quarter? And I guess that applies particularly to defense systems. And then, what's the embedded expectation in the fourth quarter based on the guidance?
James C. Reagan - Leidos Holdings, Inc.: Yes. Rob, let me really comment more on the data relative to IS&GS versus the legacy Leidos growth rates, because I think that – and that will roughly follow what we're seeing in the defense side. The IS&GS year-over-year numbers are up. This is primarily because of procurement on – for direct materials on certain contracts. On the Leidos side, we kind of had the opposite going on, where certain defense programs showed a little bit of decline year-over-year primarily because the big fulfillment center that we were building for the Ministry of Defense in the U.K., which was a direct pass-through without a whole lot of margin, that has wound down. And a couple of other programs in the defense side where we had some direct pass-throughs were down. So, as we've said before, the – relative to the rest of the business, the defense bookings have been a little bit lighter. And so, we're looking at more in this quarter. And I think that in the next couple of quarters, we're probably going to see a little bit stronger growth on the civil and on the health side of the business.
Robert M. Spingarn - Credit Suisse Securities (USA) LLC: Is there a way to think about – this is a question for either of you – about what the normalized organic growth should be in defense across both companies, the legacy business and IS&GS? Or maybe the better way to ask the question is, what's the normalized organic growth for Defense Solutions once you get through some of these headwinds?
James C. Reagan - Leidos Holdings, Inc.: Yes. I think that – we're looking at – and this is based on an analysis of our pipeline, what the submits look like and where we think we're placed on some of the larger bids outstanding in defense that a 3% normalized growth rate on the defense side in 2018 and beyond is what we should expect.
Robert M. Spingarn - Credit Suisse Securities (USA) LLC: Okay. And then, just in that context, how do we think about the company's exposure to readiness? Obviously, there's quite a bit of discussion going on inside the Beltway about what might happen in – with regard to North Korea. The army has been emphasizing readiness. The entire military has been emphasizing it, particularly at AUSA a couple weeks back. We heard a lot about that. What do you see in your own business? Is there an upside element to this for 2018, or is it just simply too soon to tell?
Roger A. Krone - Leidos Holdings, Inc.: I think we both can cover that, Rob. First of all, those contracts that we have where we support troops overseas and mission, I would say pretty much across the board we've seen – and I think we've said this even last quarter. We've seen moderate upticks. We all know we have more troops in Afghanistan than we did a year ago. And if there's – think about a ratio that for every soldier that's in Afghanistan there are three or four contractors that support that soldier. We have a couple, I think, very important programs in that theater and we've seen increased activity on those programs. We really haven't put out a dollar number for O&M. But it's probably around 10% of revenue that's somehow connected to activities of U.S. forces overseas. And we're seeing, again, increased activity across the board in that area.
Robert M. Spingarn - Credit Suisse Securities (USA) LLC: Okay. Thank you, both.
Operator: Our next question is from the line of Krishna Sinha with Vertical Research. Please go ahead with your question.
Krishna Sinha - Vertical Research Partners LLC: Hi. Thanks. So, you talked about the 3% revenue growth target. And I guess this is just building off the question that Rob just asked. But it looks like the legacy Leidos business is down sort of 5.5%. I know IS&GS has been growing since the last quarter. I think it was up 6% last quarter, probably up again in this quarter. Next year, we know you'll get some tailwind from GENESIS installations. So, maybe that's 1% to 2% of that 3% growth. But what's the other – I guess, what's the other mechanism to pull you up to 3% growth? Is it more IS&GS work? I just – can you just help us with the moving parts there in terms of that 3%?
James C. Reagan - Leidos Holdings, Inc.: Well, yes. Krishna, you mentioned that the GENESIS contract, as we've said before, is going to provide a tailwind and lift. We've also got – I just mentioned a number of contracts, including one like the billion dollar single award IDIQ, where there is – there are a number of things kind of queued up in terms of potential task orders or, I should say, likely task orders that will start to give some meaningful tailwind. And that's just by way of example. There are a number of others. We have about $22 billion worth of bids in the pipeline that have been submitted and are awaiting award by the customer. And so, when we put together the bottoms-up view of next year's business and this – it's – we don't guide by segment. But when we look at Defense, Health and Civil all wrapped together, look at our existing run-out of contracts that are currently enforced and the $22 billion of submits and when they're layering into our award schedule. That's the basis upon which we built that view. But again, we're feeling pretty good about the recent awards, albeit the ones – including the ones that are protested and that's where we're getting that sense of about a 3% growth. And we'll have more details on that when we have our February call and have laid our plans for 2018 in place.
Krishna Sinha - Vertical Research Partners LLC: Okay. That's great. Thank you very much.
Roger A. Krone - Leidos Holdings, Inc.: Sure.
Operator: The next question is from the line of Noah Poponak with Goldman Sachs. Please go ahead with your question.
Noah Poponak - Goldman Sachs & Co. LLC: Hey. Good morning, everyone.
Roger A. Krone - Leidos Holdings, Inc.: Good morning, Noah.
James C. Reagan - Leidos Holdings, Inc.: Good morning, Noah.
Noah Poponak - Goldman Sachs & Co. LLC: So, forgive me if this is a super obvious question. But I just want to confirm. You are, today, with this report and on this call forecasting the total company organic revenue growth to be 3% in 2018. Is that correct?
Roger A. Krone - Leidos Holdings, Inc.: Yes. Let's just reiterate. So, from the guidance that we put out, obviously, we left revenue guidance where it has been. All right? We have been consistent since the Investor Day last August of 3% top line, and we have made no changes to our revenue guidance or that 3% line – 3% number that we put out over a year ago.
Noah Poponak - Goldman Sachs & Co. LLC: Okay. This 3% – correct me if I'm wrong. But the 3% from the Investor Day was a compound annual growth rate for 2017, 2018, 2019. And so, honing in on just 2018 would be a little different than that. I'm just curious if you're – if you have enough visibility to be saying 2018 is 3%.
Roger A. Krone - Leidos Holdings, Inc.: Yes. And, Noah, I'm sure you anticipate this answer is, today, we are not putting out guidance specifically for 2018. It's not our process. I'm just reiterating the comments that we had made in the past, and we see no reason to change the comments that we had made earlier. And as Jim has said – and I don't mean to be evasive on this. It's just our policy. We will put out guidance for 2018 with our February earnings call.
Noah Poponak - Goldman Sachs & Co. LLC: Okay. And then, I guess, my other question on that is, if the target was 3% for a CAGR 2017, 2018 and 2019 and 2017 is shaping up to be closer to flat, then actually that statement to the extent you're standing by it would imply that one or both of 2018 or 2019 would actually be faster than 3% to get those three years to average 3%. Is that the right way to think about that three-year window?
Roger A. Krone - Leidos Holdings, Inc.: Okay. Noah, thanks. Nice try. It is – we're just not going to go there. All right? We said 3% CAGR at Investor Day...
James C. Reagan - Leidos Holdings, Inc.: For 2018 and beyond.
Roger A. Krone - Leidos Holdings, Inc.: For 2018 and beyond, and we're just not going to address any more specifics about revenue guidance in 2018 and beyond until we're ready to do that in February so...
Noah Poponak - Goldman Sachs & Co. LLC: Okay. I thought that CAGR was for 2017, 2018 and 2019. You're saying it's for 2018 and beyond.
Roger A. Krone - Leidos Holdings, Inc.: But that's – yes, that's in the charts that we had at the Investor Day last August and recently.
Noah Poponak - Goldman Sachs & Co. LLC: For 2018 and beyond?
Roger A. Krone - Leidos Holdings, Inc.: That's what the – that's what we said.
Noah Poponak - Goldman Sachs & Co. LLC: Got it. Is it accurate that – one of the prior questions was that DHMSM adds a point or two of growth next year. Is that accurate?
Roger A. Krone - Leidos Holdings, Inc.: We haven't said what that program will contribute specifically. And again, we don't provide program level details on revenue or what their contribution would be. It is – I mean, you can – we've talked about the kind of the camel hump of revenue picture that goes between 2018 and 2020, actually 2022 with kind of that peaking in roughly 2020, and it's a $4 billion, $4.5 billion program. So, you can kind of interpolate the math that way.
Noah Poponak - Goldman Sachs & Co. LLC: Okay. The CapEx elevation you mentioned, is that – were you saying that's for a classified program?
Roger A. Krone - Leidos Holdings, Inc.: Yeah. It is – I don't know that the government calls it classified. They call it sensitive. At least, it's a sensitive program that the customer would rather us not talk in detail about.
Noah Poponak - Goldman Sachs & Co. LLC: Is it not DHMSM?
Roger A. Krone - Leidos Holdings, Inc.: It is not DHMSM.
Noah Poponak - Goldman Sachs & Co. LLC: Okay.
Roger A. Krone - Leidos Holdings, Inc.: It is a defense program.
Noah Poponak - Goldman Sachs & Co. LLC: Got it. Okay. Thank you.
Roger A. Krone - Leidos Holdings, Inc.: All right. Thank you, Noah.
Operator: Thank you. And due to the large number of analysts for our question session today, please ask one question and one follow-up question. Our next question is from the line of Brian Ruttenbur with Drexel Hamilton. Please proceed with your question.
Brian Ruttenbur - Drexel Hamilton LLC: Okay. Just two questions, and I'll narrow it down. The first one is about debt. The ratio now that you've hit your target. Is the plan buybacks? Is it going to be paying down more debt? Is it acquisitions? Can you talk about where you want to focus the cash flow going forward? And then, the second question is on rebids. Can you talk about the major ones coming up in 2018 and what percentage of your portfolio is up for rebid? And I'll shut up.
James C. Reagan - Leidos Holdings, Inc.: Okay. Thanks. So, first, we're pleased to be at this debt to EBITDA of 3.0 times. It's about 1/4 ahead of where we expected it to be. And I think it reflects, really, a bit better than expected cash flow since we closed the deal. And with that, we're very comfortable with the leverage level that we're at today, particularly given that we've been able to contain the spread on LIBOR and get roughly 2/3 of it fixed. And those things allow us to think about the next priorities for where to put cash. What we've said previously, in not this priority order, but we've talked about taking that cash, investing it for growth, more R&D, continued competitive pricing on fixed priced and T&M kind of work, so that we can enhance our win rates there. We've also talked about returning capital to shareholders, either through share buybacks or enhancing the dividend and then possible M&A. And I think that your question really speaks to, are we thinking about possible acquisitions? We're always looking at opportunities that are before us, some of them that are tuck-in and things that augment our capability and our resume. But also, things that might be a little bit more of scale are not completely off the table, although we're still very focused on integrating – finishing the integration work on the IS&GS business. So, again, not any particular order there, but we are looking at all those options. And then, as it relates to big things in the pipeline, we don't talk about specific bids that we're looking at, for obvious reasons. But in any given year, the new awards that we're looking at are roughly 85% new or takeaways from competitors with anywhere from 15%, some years, it's 20%, coming from growing existing contracts. And then, the rest of our revenue, roughly 80% in any given year comes from stuff that's already on the books.
Brian Ruttenbur - Drexel Hamilton LLC: Thank you.
James C. Reagan - Leidos Holdings, Inc.: All right. Thank you, Brian.
Operator: Our next question comes from the line of Sheila Kahyaoglu with Jefferies. Please proceed with your question.
Sheila Kahyaoglu - Jefferies LLC: Good morning. Thank you for taking my questions.
Roger A. Krone - Leidos Holdings, Inc.: Good morning, Sheila.
Sheila Kahyaoglu - Jefferies LLC: Good morning. So, I guess, first, on the healthcare business, can you maybe talk a little bit more specifically about the ramp within the GENESIS program? And then, just on margins, how sustainable is this? When do we kind of see a little bit of a falloff as the ramp starts to pick up?
Roger A. Krone - Leidos Holdings, Inc.: Yes. Thanks for your questions. I'll just give you some updates on what's going on, on the Defense Health program. You've probably read that we have gone live at our fourth IOC site at Madigan, which was, that being an IT installation, relatively successful here, not without some tickets being written, but we're really, really pleased with how the team is performing and how that's going forward. Now, the way the program was always structured, we've got our IOC sites and we're going to operate those really through the rest of the year. And then, in the spring, we start to roll out implementations of the GENESIS program in waves. And so, we start the ramp-up towards the back half of next year. And as Jim said, we start implementing waves and we stay at that level until about 2022 and then we ramp down. As we install the new software at the hospitals and care facilities, there is a sustainment piece of this, which will grow. So, I mean, you probably have your model and you can look at implementations, you can add a sustainment line and build what we've always talked about, our one-hump camel. But we will see growth in the program next year.
James C. Reagan - Leidos Holdings, Inc.: Yeah. And then, Sheila, relative to the margin question that you had, as I kind of intimated in my remarks earlier, we're very pleased that the Health business is performing and generating the kind of margins that it is. But we want to be clear that we don't view the 16.4% that we had in the quarter as sustainable over the long haul because there are a number of contracts that we have that are generating – because of where they stand, it's this wonderful, perfect storm of things where there are – several contracts are at the same time in a phase of higher margin that will begin to wind down and go back to a more normalized level. And again, we don't guide margin at the segment level. But I do want to make sure everyone is clear that the 16.4% is not something that we look to sustain into 2018.
Sheila Kahyaoglu - Jefferies LLC: Got it. And I guess, just one follow-up. Does a healthcare have a larger portion of re-competes as we enter 2018 or is it similar across segments?
James C. Reagan - Leidos Holdings, Inc.: I think, in 2018, the level of re-competes will be lower than we had in 2017. We've gone through a cycle of re-competes. And again, we have visibility into what the profit picture is on the work that we've won in re-competes and that will – because we were working to make sure we win those, the margins will be a bit lower on some of those.
Sheila Kahyaoglu - Jefferies LLC: Great. Thank you.
Roger A. Krone - Leidos Holdings, Inc.: Thank you.
Operator: Our next question is from the line of Tobey Sommer with SunTrust Robinson. Please proceed with your question.
Tobey Sommer - SunTrust Robinson Humphrey, Inc.: Thank you very much. The first question is about margin. And does your backlog pipeline, in kind of a spending climate, suggest an environment that you could maintain a 10%-plus EBITDA margin as an outlook? And then, I was wondering if you could comment on your positioning for a potential VA healthcare system overhaul. Thank you.
James C. Reagan - Leidos Holdings, Inc.: Yeah. Tobey, I'll start and just speak to the view of margin, and then Roger will talk about the VA overhaul opportunity. Yes, our belief is that – again, we manage programs in a portfolio fashion and when we look at what the portfolio of bids outstanding looks like as well as the margins on backlog that we have in house, we're confident that we can make good on the promise we made over a year ago of margins at or above 10% on the EBITDA line. So, yeah, we remain confident in that. Roger?
Roger A. Krone - Leidos Holdings, Inc.: Yes. In VA, writ large is they are taking sort of a strategic view of modernizing a lot of their IT systems across the board. We already have a scheduling contract with the VA, which we refer to as VA Mass (46:12), where we're working with a major healthcare vendor to put in a new scheduling system. But I think the one you're specifically asking about is electronic healthcare records program that was announced in June with Cerner as prime. We have a great relationship with Cerner. We provide a lot of value to the VA. I think the way that will roll out is – and Cerner had a call either this week or last week. I think what they said was they're in negotiations with the VA to get their prime contract in place. And when that happens and we'll have conversations with Cerner about how we can help them provide the level of healthcare records to our veterans that they need. And we are hopeful that we will have a meaningful role in the program going forward.
Tobey Sommer - SunTrust Robinson Humphrey, Inc.: Thank you very much.
Operator: The next question is coming from the line of Jon Raviv with Citigroup. Please proceed with your question.
Jon Raviv - Citigroup Global Markets, Inc.: Hey. Thanks for fitting me back in.
Roger A. Krone - Leidos Holdings, Inc.: Sure, Jon.
Jon Raviv - Citigroup Global Markets, Inc.: A question on the Defense. You mentioned the bookings are a bit light compared to the other segments and also that, when you lose, it's not because of price. So, I'm curious, how are you improving on some of the other dynamics? What have been some of the lessons you've learned thus far?
James C. Reagan - Leidos Holdings, Inc.: I think that the lessons learned are to get a little bit more focused on the depth of understanding we have of what the customer is looking for, make sure we write better proposals and that we have an account management team that is in the customer site every day. And we've spent the last year making sure that we put the right people in the right slots and that we get them installed and in spending time with the customers and that will enable us to be a little bit closer to the pin in terms of what customers are looking for when we submit proposals. But the thing that we are finding is that the – again, I'm not saying 100% of the time, but the wrap rates are these days not getting in the way of winning. Anything else, Roger?
Roger A. Krone - Leidos Holdings, Inc.: No.
James C. Reagan - Leidos Holdings, Inc.: Okay. Thanks, Jon.
Jon Raviv - Citigroup Global Markets, Inc.: Thank you.
Operator: Our next question is from the line of Noah Poponak with Goldman Sachs. Please proceed with your question. Mr. Poponak, your line is open for questions.
Noah Poponak - Goldman Sachs & Co. LLC: Sorry. I was on mute there. What is the dollar amount of IS&GS synergies left to be gained in 2018 versus 2017?
James C. Reagan - Leidos Holdings, Inc.: In terms of on a run rate basis, it is not going to be much more than what we're experiencing now, Noah. The next step function in synergies is going to come primarily from two areas. One of them, the reduction in cost that we have today of sustaining two significant large ERP systems that came over from Lockheed Martin, as we migrate those onto the legacy Leidos platform. That is – that's systems cost. That's software maintenance cost that is – and the cost of people and process within IT and finance. The second big slug of synergies – and we will achieve a step function on that next year but also in the following years on real estate. The – we're continuing our process of consolidating vacant space. A lot of it here in the national capital region, but also in other locations around the country. The bulk of it is here around the national capital region, and that will also give us part of this step function of synergies. Right now, we're pleased to be at a run rate synergy number of about $300 million. And again, we've said that we're going to get to $400 million or better by the time we're finished.
Noah Poponak - Goldman Sachs & Co. LLC: Okay. All of that sounded like a pretty healthy step-up in 2018 versus 2017 except for your very first sentence, which said there wouldn't be one. Do you know what I mean?
James C. Reagan - Leidos Holdings, Inc.: No, no, no. Noah, I don't think – I think what we said was, for 2017, we've made most of the systems changes that will affect the creation of cross linkage and synergies in our cost structure. And it won't be until early in 2018 that we consolidate our general ledgers, our large ERP system. I think what we said was you could see most of that $100 million next year. There's not a lot of room left in calendar year 2017 beyond the $300 million that we announced on this call that we have achieved. I mean, there'll probably be maybe single digit millions. But the next big event for us will be to bring the back-end accounting systems together in a Costpoint Deltek system.
Noah Poponak - Goldman Sachs & Co. LLC: All right. Got it. Roger, when you were talking about capital deployment flexibility with the leverage ratio getting where you wanted it to be, I think you used the word meaningful in description of possible share repurchase. Can you maybe elaborate on that and quantify what kind of level we could be looking at, even if it's further down the road?
Roger A. Krone - Leidos Holdings, Inc.: Yeah. Well, okay. So, we obviously choose those words with much thought. And what I was trying to indicate to all of us, right, to you is that, if we initiate a buyback program, it would be significant. We're not going to buy back just our creep, if you will. But it is just one of the options that we consider when we meet with our finance committee on a quarterly basis. And if we initiate a program, it will be meaningful. Again, it won't just be trivial. We're not just going to buy back our dilution due to executive comp. And that's the message that we're trying to put out. But I also want to reiterate what we did on the call, which is there's a tax reform bill that seems to be making its way through Congress. We're going to get a new Fed chairman, it would appear, sometime this week. And so, all those things affect our cost of capital and how we're going to redeploy our excess cash, and we will make thoughtful decisions about how we do that based upon our appetite for cash and in driving organic growth and the options we have to efficiently return that capital to our owners.
James C. Reagan - Leidos Holdings, Inc.: And one more thing, Noah. Kelly just pointed out to me that, when I answered your question just a moment ago, I said that there wasn't more opportunity in 2018. I meant to say there wasn't much more opportunity in 2017.
Noah Poponak - Goldman Sachs & Co. LLC: Got it.
James C. Reagan - Leidos Holdings, Inc.: I know I kind of contradicted myself by then saying there's another $100 million next year.
Noah Poponak - Goldman Sachs & Co. LLC: Here's all the opportunity.
James C. Reagan - Leidos Holdings, Inc.: Yes, right. So, my apologies there for confusing you.
Noah Poponak - Goldman Sachs & Co. LLC: No. That makes a lot more sense and sounds like a lot of opportunity. Just one more then since you brought up tax. Before any – assuming there wouldn't be a tax reform bill, what should we be using for long run normalized annualized tax rate for the company?
Roger A. Krone - Leidos Holdings, Inc.: Noah, I'm afraid we're going to have to hold off until we do our – finish our tax plan for next year.
Noah Poponak - Goldman Sachs & Co. LLC: Okay.
Roger A. Krone - Leidos Holdings, Inc.: I mean, what you've seen so far is that we've made improvements over, what, a year or two ago. We had a normalized rate of 37%, and we've been doing better than that. We've got a new head of tax who's doing a great job for us in helping us do better planning and – but with that said, you'll just have to wait until we have more to say about that in the February call.
Noah Poponak - Goldman Sachs & Co. LLC: Okay. Thanks a lot.
James C. Reagan - Leidos Holdings, Inc.: Thanks, Noah.
Operator: Thank you. Ladies and gentlemen, we've reached the end of the question-and-answer session for today. Now, I'll turn the call back to Kelly Freeman for closing remarks.
Kelly Freeman - Leidos Holdings, Inc.: Thanks, Rob, and thank you, all, for joining us a bit early on the call today. Have a good day.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.